Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:01 Good day and thank you for standing by. Welcome to the NFE First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] 00:25 I would now like to hand the conference over to your speaker today, Brett Magill, Managing Director and Head of Investor Relations. Please go ahead.
Brett Magill: 00:32 Thanks, Jemara. Good morning, everyone and welcome to New Fortress Energy's first quarter 2022 earnings call. This call is being recorded and will be available by replay until May 12. This morning, we'll be referencing our Q1 2022 investor presentation, which is posted on our website and will remain available after today's call. The presentation includes a series of important disclosures related to forward-looking statements and non-GAAP financial measures. We encourage participants to review these important disclosures in addition to the description of risk factors contained within our SEC filings. 01:05 Joining me here today are Wes Edens, CEO and Chairman of the Board; and Chris Guinta, Chief Financial Officer. Also joining today's call are other members of our team, including Andrew Dete, Ken Nicholson and Patrick Hughes. 01:18 So with that, I'll hand the call over to Wes.
Wesley Edens: 01:19 Great. Thanks, Brett and thanks, everyone for calling in. As usual, we will be referring to the earnings deck which we posted on the website. So if you could just flip through and follow that would be terrific. 01:34 So with that, let's start at Page 4. So first, the financial results. Q1 was another very good quarter for the company. We've moved kind of solidly out of the development phase of our life into the production part of our life, at least from an earnings standpoint. And you look at the progression of earnings on the page, you can see that very, very clearly. So adjusted EBITDA 2019, negative $115 million, our first positive year of EBITDA 2020, $33 million; last year, $605 million, with the bulk of that coming in the fourth quarter, and the first quarter this year $258 million. So very much on track to produce what we have guided towards which is approximately $1 billion in adjusted EBITDA this year. 02:23 Our guidance at the moment is $1.5 billion in 2023 with substantial upside, both that year and beyond, depending on the timing and delivery of our FLNG, which we'll talk about. But the core underlying business, our business which is basically selling gas or selling power to customers around the world is a very, very strong one. Obviously, there has been massive changes and disruptions in the energy market that have implications in both the short and long term, we'll talk about. But the bottom line is that the financial results are very, very promising on the first quarter of the year. 03:00 Page number 5, what we have laid out here is basically converted the volumes that we have delivered to our customers through our business into the blue boxes which are TBtus. So those are very simple metric that describes the volumes that we have had. 12 TBtus delivered in 2019, 36 in 2020, 61 in 2021, 80 in 2022 is our forecast. The six on the top of it represents the six TBtus, that's about two cargos that are uncommitted at this point. So that's the marginal long position that we reflect in terms of the volumes. And then things start to change dramatically as you move into in 2023 and beyond. 03:47 The yellow portion of the graph basically represents the TBtus that we expect to produce from our FLNG. So second half of next year, 39 TBtus, so 24 that are uncommitted in total. So we have a significant long position which is a good position to be in at this point. And then as these start to roll in, you can see that the numbers become dramatically larger, 268 in 2024, 520 in 2025. The goal, obviously, over time will be to convert the yellow lines to the blue lines, right? So essentially, what we will do is take our market volumes and convert them into customer volumes as it become a part of our portfolio. 04:31 Given market conditions, the yellow parts of this chart represents some of the most scarce things in the world which is LNG volumes that are not committed that are being produced in 2023, '24, '25, given that the shortage of energy broadly in the world and specifically LNG with the developments in Europe and elsewhere, these are very, very significant developments for us. 04:59 Page number 6; just a little bit of a recap. So prior to the war in the Ukraine, the world is already very short energy, in my view. We spent a considerable amount of time over the last couple of years, traveling around the world in the different markets that we do business with. In my conclusion, last fall was that the world was structurally short gas as you're getting developing countries that needed more energy as well as the developed countries. 05:24 Obviously, then on February 24, that changed dramatically when Russia invaded Ukraine, just to give a little bit of context to it. So total production in the world, roughly is about 400 million tons of LNG. Europe today gets about 40% of its natural gas from Russia. It's about 150 DCM of gas that converts into about 100 million tons of gas. So in the most simple way of thinking about this, you had 400 million tons of production in the world and then the biggest -- one of the biggest customers in the world all of a sudden instantly got short 100 million tons. 06:01 Now the gas has not stopped flowing in Russia today. But what is crystal clear is that given the choice over time, the Europeans will choose to get their energy from elsewhere and the energy security issues become more pressing than the cost of the energy. Simply put, the 100 million tons of incremental demand does not exist. You can't manufacture it. So of the 400 million tons that is created in the world right now, the vast, vast majority of that is already spoken for. The way that the LNG is produced around the world, generally speaking, is the producers line up long-term offtake to help them finance the projects that they are going to develop. So when you see 400 million -- 100 million, 400 million is a big number, it's actually much worse than that in a sense that the 400 million is already spoken for. 06:52 So when we look at the chart on the right-hand side, expected supply additions across the world, you can see, there is very, very little in 2022, '23, '24 and '25. There are a number of projects that have been declared FID or in the process of being declared FID that we expect to come on in the second half of the decade, that is not responsive to the world's energy needs in the next three to four years. Literally, the only thing that really is on our horizon is the Fast LNG projects that we have. So we'll talk about that in some detail. 07:22 Page number 7, I think it's worthy to give a little context of not just the energy crisis but all the other derivative impacts that this has in the world. So the crisis, in my view, energy which is very, very manifest, is just the beginning of what the real crisis is likely to play out. Obviously, agriculture relies heavily on fertilizer. Fertilizer is created in large part through natural gas. So the impact of higher energy prices which obviously hits the pocketbook of people in their electricity bill every month, also has profound impacts on the cost of the food that they buy. That then turns into inflation. Inflation, obviously, rapid consumer price increases disproportionately affect the people that have the least amount of money. 08:11 And so what really I think is about to play out is that not only you're going to get significant amounts of increase in energy cost to both developed and developing countries around the world but then the knock-on effect of the great increases in the inflation in agriculture and food prices. Food, insecurity, mass hunger. I mean there's -- there are significant implications for all of this which just only is exacerbated by the energy crisis that we have in the Ukraine. 08:39 Lastly, and it's worth noting is that the climate change goals that, of course, that many countries have adopted around the world, are -- were focused on a phaseout of fossil fuels. When you have the energy crisis that we've had in Europe, what happens is that coal gets burned. And it delays basically the impact of these climate change initiatives by 10 or 20 years. So it is not only a significant crisis today, but one that, in my view has got a long duration is likely to play out over the next number of years. 09:11 Page 8, just to put in the context, what actually happened in the last 1.5 years. So I went back to the first of last year and basically created the energy hierarchy, the complex from top to bottom. So diesel, Brent, TTF which is the measurement of the price of gas that is brought into Europe; Henry Hub which is obviously our own domestic index; and then coal. And you can see that the energy prices have moved dramatically. Diesel $10 to $30; Brent, $51 to $110; TTF $7 to $32; Henry Hub $258 to $841 yesterday; coal $2 to $11. So pretty much across the board, there has been massive changes in energy. And while there -- we think that there are significant adjustments ahead, again, given the duration of the events that are going to play out, we think that this is not going to change quickly. 10:02 So Page 9, with that overview, what does this mean for our business? In short, there are several aspects of our business which are greatly affected by this, all of them in a substantially positive way. So the FSRUs which Andrew talk about in just a moment. So FSRUs are the ships with regas capacity that are used to bring gas into markets are in great demand with all that has happened in Europe and they are in short supply. We are very much the market leader in terms of the owner of FSRUs, the world's fleet has been counted 45 or 46 ships. We are nine of that. So we're about 20% of the market. We have open positions as well. So that's something that Andrew will talk about here in a second. So that is a tactical exposure, but it's a very, very positive one and one that we think will actually result in some very positive results for us in the coming months and days. 10:56 Fast LNG is really the industry-changing application. As I've said many times, the only commodity that you cannot buy is time. We greenlighted the production of our liquefiers 18 months ago. That in hindsight, looks like a very good event. It was done at the time when LNG was $5 or $6 in the world, now $35 in the world. So we thought it made sense to provide security of supply for our customers and to do that with our own activities. That's why we started it. That's why we actually bought the equipment and started the whole industrial process. And then obviously, the events of the last couple of months have made that look very prescient. We have committed to this, as I said at the beginning of last year. The process that we are engaged to this -- to industrialize the production of these units. Let's say, the Henry Ford kind of initiative where we are trying to unitary design, unitary engineering, build them ourselves in a controlled environment. That is how we believe we can actually produce them not only in a high-quality way but in a very, very fast and efficient way. Chris will talk about that in just a second. 12:12 Lastly, hydrogen. So the energy crisis will only accelerate efforts to find alternative sources of energy. We believe that renewables in general will be the beneficiary of this and the focus on this. But long term, we think dispatchable power is the cornerstone of real change to address climate change. And of that, we think that hydrogen is one of the key components of it. So both Ken and Patrick will walk through that in just a moment. 12:41 So with that, let me turn it to FSRU and talk to Andrew.
Andrew Dete: 12:44 Thanks, Wes. Hello, everyone. On the next three pages, we are going to provide a brief update on the rush to add regasification capacity in Europe and what that means for NFE in a commercial context. 12:56 So on Page 11, let's start with what exists today in Europe. So currently, there are 27 terminals providing 153 MTPA of total capacity. Utilization of these terminals is typically provided about one-fourth of European gas supply right around 100 BCM, meaning utilization of that is actually about half of the capacity. So these terminals have been used seasonally to balance supply and demand. If we exclude Spain and Portugal which have a meaningful amount of capacity but are not really interconnected into Central Europe gas supply, that reduces the total capacity by about 50 MTPA, down to something like 100 MTPA of total existing capacity in Europe. 13:37 If we flip to Page 12, what we want to show is, how this picture is changing. So in 2019, Russian gas imports were just about 100 MTPA, the sort of 140 BCM to 150 BCM Wes mentioned earlier. That's gas being imported from Russia into Europe. To replace that supply with LNG capacity requires approximately a doubling of the existing regas capacity, assuming much higher, almost constant utilization rates. The only way to meet this in the near term is to use FSRU capacity. So the typical kind of European land-based storage terminal takes three to four years to construct, FSRUs are able to be deployed today. 14:20 There are 18 new proposed terminals in Europe that covers some of the need. If we think about actually replacing the full amount of Russian gas supply that would take almost 25 to 30 FSRUs required to meet that 100 MTPA need. Today, existing in the world, there are only 46 FSRUs and basically none currently available outside of the NFE fleet that we're going to mention here in a second. NFE owns seven currently operating FSRUs with two potential conversions, so a total of nine, which is just about 20% of the total market in the world. 14:53 Moving to Page 13, you can see NFE's current fleet on the left side of the page. We have two FSRUs available now for deployment in 2022. We have the equipment needed to convert an additional FSRU in the next nine months to 12 months. And we're seeing charter rates that are up $50,000 to $100,000 a day. So about 100% increase year-over-year in charter rates, which means that based on what we were seeing last year, deploying an FSRU today is equivalent to about $25 million more in earnings per year per ship. 15:29 So a lot of activity happening with the rush to add regas capacity in Europe. We're right in the middle of that and want to be supportive to some of the folks in Europe, helping to add this regas capacity to import more gas and offset the Russian gas and have a great commercial opportunity ahead of us. 15:45 Back to you, Wes. Thanks.
Wesley Edens: 15:46 Great. So let's turn to the Fast LNG, which is a big part of the focus for the firm and I suspect for the investors as well. So on Page 15, let's talk about where we are. So two steps to the Fast LNG process. One is to obtain the permits to allow us to place our equipment and make it productive. And then two is, actually construct and deploy the assets themselves. 16:13 So let me touch on the first one, first. So the progress that we've made. We filed for 2 times, 1.4 million TPA units on March 30. On April 26, we received notice from the U.S. Coast Guard and MARAD that we had -- that our application was judged to be complete, that's reassuring. We obviously put a tremendous amount of effort into doing this in both an expedited but also professional manner. So this is the 8,000 page application that I talked about in our last earnings call. 16:49 We are also preparing to file for an additional 6 units off the coast of Texas in the month of June. We say and our goal is no better than the 1st of July, but we're hopeful that we can get that done before then. And basically, the design that we are using for this is essentially the same design that we have utilized in Louisiana. So we will file those permits and move ahead on that as quickly as we can. And Chris will talk about what our construction and deployment time line is. 17:24 We also continue to make progress with our deployment of a unit in Congo with our partners, Eni. They are one of the world's leaders in obviously, oil and gas exploration. We think they're a great counterparty. They're tough and very, very talented group of folks and we are in the final stages of negotiating definitive agreements to back up the MOU that we signed at them earlier this year. We expect to deploy that in the second half of next year. So I think there are -- these two paths are, I think, actually quite balanced and they give us a good perspective and that created the equipment to be used by others, gives us access to volumes, gives us access to kind of the IP and interactions that are positive with respect to how other people view the world and then applying that obviously, to our own portfolio is the one where we have the greatest impact from a P&L standpoint. 18:19 So in total, 8 units would result in 11.2 million tons. When President Biden went to Europe to offer reassurances that the U.S. was going to be supportive of the goal of reducing their energy insecurity. We talked in terms of 15 BCM of gas that's equivalent of about 10 million or 11 million tons. So this is roughly the amount of gas that we were talking about from the U.S. It is the only gas incrementally that is -- LNG that is scheduled to come online in 2023, 2024, 2025. So we think it's highly responsive of that. And our interactions with our own government on the permitting side thus far have been terrific. And so obviously, the proof will be in putting -- essentially, in terms of getting these both permitted and then built and deployed. But we feel very good about the progress with it thus far. 19:16 We will turn over -- then over to Chris.
Christopher Guinta: 19:16 Great. Thanks, Wes. As Wes mentioned earlier, we started this campaign a little over a year ago. But over the past six months, we've significantly organized and professionalized the process, starting with a call that Wes leads five days a week. As you can imagine, this ensures people are quite focused and ready for success each and every day. We've hired some of the best liquefaction and construction experts. We now have over 70 fully dedicated people and hundreds of contractors on site all of which intently are focused on speed, cost and safety. 19:45 Given this is such a large and complex project, in order to make the task more manageable, we decided to break it up into smaller parts that can be owned and prosecuted independently. First, the engineering and procurement; second, the construction and the commissioning. This is the exact same way that NFE has executed our downstream terminal projects over the last eight years. And so while we're using world-class equipment providers and construction contractors, this is still NFE's proven IP that is being deployed to manage the process. 20:14 Also, we're thrilled to announce that we're opening a new office in Houston this month, where we will house the full FLNG team. Houston, as you all know, provides us access to the top industry talent, proximity to the shipyard which is in Corpus Christi and integration with our key partners to complete the project. 20:33 If you turn to Page 17, first, we'll talk about the engineering and the procurement aspect. I'm stealing a line from Wes here, but from a design perspective, our goal was to make the Model T factory for LNG. Our units will use the same design, the same equipment, the same operations and the same unified team to piece everything together. This provides for operational continuity across assets, common spares which save money and interchangeability of the team amongst the FLNG assets. 21:00 Also, we and our expert partners have designed, built the flexibility to accommodate different marine infrastructure depending on the gas supply environment. You can see in the cartoon in the middle of this page which illustrates our ability to place the same technology on jack-ups, fixed platforms or semi-submersible rigs, all of which do not require any material reengineering. 21:22 From a procurement standpoint, we've already placed orders from industry-recognized manufacturer for all long lead items, for our first three units and we're in the process of ordering kit for units four through nine. We wanted to ensure we had best-in-class equipment providers which is why we have partnered with those of likes of Chart, Siemens, Baker Hughes and others. And obviously, some of you are wondering about costs in the face of rising inflation. We're hyper focused on increases that we may see supply chain based or with partners internationally but these should be offset by efficiencies on the engineering side, given this is largely a copy and paste exercise. On our first three units, we have around 70% of the costs already locked in. 22:05 Moving to Page 18. Let's talk more about what we're doing on construction. And again, here, we've broken it up into a few different pieces. First, modules; second, marine infrastructure; third, pipeline and installation. We've created uniform modules that are fabricated using the same people in the same yard with the same sequencing. And as a result, the increased familiarity with the task that each tradesman is doing will make them more efficient. 22:30 From a marine infrastructure standpoint, as you know, we've already procured three jack-up rigs and have brokers on others. We purchased two semi-submersible drilling rigs, the Sevan units, that are well suited for deeper water and we've designed and reserved slots for jackets and decks for fixed platform solution. On the pipeline and installation component, we've done a lot of this in our collective lives and NFE already. It's critical to have this planning done well in advance and have a top-quality service provider to minimize the time in the field and to ensure best pricing. 23:01 Last, we always focus on our build by -- through the build by thinking about the integration and the commissioning and then the operations. So for example, the sequencing of the commissioning is key. The way we've designed this is, we can use things like gas that's already available in the queue at shipyard to commission the power and accommodations modules, while we'll wait to commission the liquefaction and the gas treatment modules when you're on site and connected to your feed gas line. This allows us to just be able to get the assets online sooner. 23:33 And finally, we've hired an amazing new head of FLNG, who is already starting to staff up the team. This way, the people that will be operating the asset will have written the manuals, they'll have done all the training, they'll have drilled and they'll be incredibly familiar with the asset, making sure that maximum uptime is achieved once the asset is placed in the service.
Wesley Edens: 23:53 Great. Excellent. So Page 19, what does this mean for us economically is actually a very, very simple question, at least in terms of the arithmetic of it. So each unit produces -- each 1.4 million tons produces 70 TBtus to generate the P&L from that, you simply need to multiply that 70 times the margin that you expect to receive on the unit. So if you made $10 in margin, it would generate $700 million a year. If you generated $15 in margin, it'd be $1.50 billion per unit, $20 would be $1.4 billion. There are eight units, so you just simply fill out the arithmetic of that times 8 is the ultimate P&L opportunity that exists with all of this. 24:41 There are many, many forecasts in terms of what the market will do. Obviously, predicting the future is a perilous task. I simply took the World Bank price forecast is just one of the reference points. There are many that you can get from a whole host of different analysts on it. 2022 they are estimating $34 MMBtu in Europe; 2023, $25; 2024, $22. Our estimate of the cost all in of our LNG at the flange is approximately $6. It could be less than that. It could be $5, even $4.50. But it's basically a range of, let's say, $5 to $6 on the one side, at $34 or $25 or $22 on the other side. Obviously, the margins are significant. 25:29 The question to ask, the one that we ask ourselves is, given all of the market dynamics, given the shortage that exists in the world right now, what is likely to be the picture for our production in 2023 and '24 and '25? And the answer is, it could be great, or it could be amazing. And we think that, that is kind of the range of outcomes that exist with this. As I said, the goal long term is not to have merchant volumes solely and just simply be selling volumes into the marketplace but to be converting those volumes to customer volumes. 26:07 And I think that the next leg of this from our standpoint will be to then talk to customers and customers that actually need energy security, they need fuel during these difficult times and convert these short-term volumes that we have in the long-term offtake agreements in our terminals around the world. That's the business plan for the unit and that will be the development of it. We obviously have gotten many, many calls from a whole host of counterparties that are interested in buying volumes for us today. We're not going to sell volumes until we are certain as to the timing of the placement of these. 26:40 So that's why the group that Chris talked about on the construction side, [indiscernible] to the other professionals that are working on the permitting side, assuming that all comes together, the first time we'll really be selling material volumes is probably sometime later this year or early next year. But this is the math and the upside for it. So obviously, with a $1 billion roughly run rate base of operations from our existing business, the upside from the deployment of these units is material. 27:08 With that, let me turn it over to the hydrogen team. Patrick?
Patrick Hughes: 27:11 Yes. Thanks, Wes. We're on Page 21 here. So starting with a look at sort of an update on our hydrogen business. The world's credible experts are in broad agreement that we must decarbonize energy supplies to achieve global climate goals under the Paris Agreement. And also actually to address the urgent energy security needs and concerns that Wes touched on earlier in the call. 27:29 The good news is that with further technological advancements and cost reductions, clean hydrogen and specifically green hydrogen produced using electrolysis can, will and must play a larger role over the medium and longer term. We think there's tremendous value in positioning Zero Parks as an early mover in this vast and rapidly evolving market and we intend to be the largest clean hydrogen producer and supplier in the U.S. 28:03 To that end, as you can see on the slide, we're building a scalable business with activities throughout the hydrogen value chain. We think there are a few key ingredients for the commercialization and growth of our Zero Parks business and they're depicted here and really focus on where we're tasking from a commercial standpoint here over the next couple of months. 28:27 First, in technology, we're finalizing an agreement with an electrolyzer partner for our first project in Texas which Ken will touch on more in a minute. The electrolyzer manufacturing space is still pretty limited in the grand scheme of what we think the hydrogen market needs to grow to. So solidifying our partnerships with electrolyzer OEMs and booking manufacturing slots in the queue is an important step in support of our future industrial scale developments. 28:54 The second is on power. We're in the process of constructing a renewable power portfolio, working with some of the nation's leading power producers and renewable developers to ensure that we have reliable long term low cost power to support the build out of our clean hydrogen project pipeline. 29:13 The third is on land. We're working to secure optimal sites with important attributes for the development of green hydrogen projects and Ken will take you through this in more detail on the next slide. And then fourth is people. As you heard Chris talk about our focus on people in the Fast LNG side of the business and our recent opening of the Houston office. And likewise, on the hydrogen side, in order to be the nation's leading producer of clean hydrogen, we recognize that we need to build a world-class team of professionals across functions with a particular emphasis on technical expertise and commercial acumen. And so that's what we're doing there. 29:50 So let me turn it to Ken to talk about how these ingredients translate into our plans for growth. And he'll also give an update on our first project in East Texas and the path to near-term FID there. Ken?
Kenneth Nicholson: 30:02 Great. Thank you. Thank you, Patrick. We'll talk about the path to FID on our first site in just a second here. But on Page 22, our plans are to build a portfolio of green hydrogen production facilities throughout the United States. And we've been scouring the country for the best sites to do so. We have a pretty significant acquisition pipeline. Key attributes that we are focusing on are, as Patrick mentioned, first, low-cost renewable power. We can build our own renewable power; we can buy it from others. We're somewhat indifferent. We just need a low-cost, long-term supply of renewable power. 30:40 Two is regional demand, sites that are surrounded by significant users of natural gas or grey hydrogen today, things like power plants, gas burning power plants, coal burning power plants, other transportation businesses and there are a number of areas, of course, throughout the United States that are ideal for regional demand. And finally, efficient logistics and pipeline infrastructure. We know we can make the green hydrogen at attractive costs but being able to supply it to domestic and international markets will be essential. 31:14 Infrastructure is something that we heard Fortress have been heavily involved in over the years. And I think we have some great sites in our pipeline that could be perfect for green hydrogen production. Today, we have a database of about 24 total sites. About half a dozen of those, we think are prime candidates for green hydrogen production and we look forward to reporting back on our progress in the coming months. 31:37 Shifting to Page 23. We have a number of significant events coming up in the next few months and we certainly plan to update the market in the near term regarding development of our first site, first site, as Patrick said, in the Gulf Coast. We expect to achieve FID by June 30. We're making great progress. Shortly after FID, we will break ground on the project. It's about an 18-month build and so we plan to be in business by the end of next year. We continue to build out the business in parallel with our first project and we expect to begin to capitalize Zero Parks as a separate company during the second half of the year to continue to fund our development. We expect to issue equity in the business, positioning Zero Parks as a potential spin-off but fund the bulk of the development with tax exempt debt to achieve the lowest overall cost of capital. 32:35 And with that, I'll turn it back to Wes.
Wesley Edens: 32:36 Chris?
Christopher Guinta: 32:37 Yes. Let's flip to Slide number 25 and I'll quickly walk us through the financial results for the first quarter. The headline as Wes has already mentioned, is we had $258 million in adjusted EBITDA and we're on track for our goal of this year of $1 billion. The Terminal segment operating margin was $211 million and $89 million from the Ships and you can find more detail on this in the appendix. 33:01 On SG&A, we had a few onetime items in Q1 which drove SG&A higher for the quarter. We're implementing some savings initiatives and expect to be able to see this number decline closer to $30 million to $32 million going forward. A comment though, the results of this quarter really solidify our run rate adjusted EBITDA that exceeds $1 billion on its way to north of $1.5 billion for 2023. If you annualize the past nine months, the past six months or the past nine months, they're all above $1 billion. And when we post our Q2 earnings, yield truly have a trailing 12 months above $1 billion. 33:36 Net income for the quarter was $241 million which does include a non-cash adjustment for a reduction of deferred tax liability which is further explained in the release and in the 10-Q, that amount is $77 million. And in the quarter, we had $1.13 in earnings per share. If you normalize for the non-tax adjustment, you will still have $0.77 a share which is our largest share -- largest earnings per share we've ever had. 34:01 Page 26; we repeat what we've talked about in previous quarters that we expect to fully fund our robust growth initiatives through internally generated cash flow. We have an excellent team that is aggressively working on monetizing assets that are significantly in the money versus what we paid for them. The asset transactions that are in advanced discussions will contribute an estimated $2 billion to $2.5 billion in new proceeds that we will effectively efficiently recycle into higher-yielding projects like FLNG. Alternatively, we can obviously choose to pay down debt or return to shareholders in the form of buybacks or dividends. 34:38 Further, as you can see the leverage ratios were around 4 times currently, expect to be under 3 times once FLNG 1 is operational. We'll be talking to rating agencies in the coming weeks and we hope to be upgraded to BB, BB flat or BB+ this year and then into the investment grade category in 2023. 34:59 And then the only quick comment on liquidity is in Q1, we did increase our capacity on the revolving credit facility to $500 million and added another $125 million of new commitments.
Wesley Edens: 35:10 Yes. The one last comment I'll make before I turn it over to questions is on the financial side is that obviously, the goal for our company, the goal for every company is transparency in terms of the earnings. And a clear and transparent view of both what we expect today and what we expect in the future, and so that's obviously the goal of that. With the developments across the company, we have now got in a position to generate significant run rate EBITDA and we have a very significant customer portfolio that exists over 100 customers over eight terminals on the way to 12 terminals around the world. And now with the addition of FLNG, you go into a different category in terms of the volumes and the P&L that can be generated from them. 36:05 Chris mentioned it but it's actually a significant point is that we think with the balance sheet that we've got and the assets we've got and the performance of those assets, we have the ability to either sell or asset finance those assets and self-finance ourselves, so we don't have to come back to investors and shareholders for capital to grow our business. That obviously is a massive benefit of the activities that we've got. The result of that is you'll be basically exchanging cash flows on very stable assets and redeploying that capital into the cash flows generated from the FLNG. There is likely to be timing differences from quarter-to-quarter. 36:46 I think the guidance that we have given, I feel are very good about the core of the underlying business is so solid and we think we have a very substantial base to build from. But it is not going to be a widget factory, while we are actually redeploying capital from assets into the FLNG. The good news is that the upside from the FLNG in this marketplace is gigantic. I mean, even as we are here this morning, we see that Russia is talking about stopping all gas sales to France by the end of May. I mean the energy insecurity that exists in the world is significant. The upside from these FLNG units to meet those needs in the short term is dramatic and there's likely to be some volatility as we go from one place to another. I'm not overly concerned about it at all and feel very good about the long-term prospects but -- and we'll provide our best -- do our best job to provide transparency as to what we are doing as we move along. So it's a very, very good profile. 37:45 With that, Brett?
Brett Magill: 37:47 Yes. So, Jemara, we'll go ahead and take it into Q&A. And for those that have questions, we welcome them, absolutely. I ask you to -- ask your question and one follow-up. And if you have further, then circle back into the queue. So with that, we'll go to Q&A.
Operator: 38:01 [Operator Instructions] Your first question will come from the line of Spiro Dounis with Credit Suisse. Please proceed with your question.
Spiro Dounis: 38:17 Thanks, operator. Good morning, guys. Maybe just start off with Fast LNG, if we could and permitting and advancing these 6 units from here. Wes and Chris, you touched on this a bit at the end there but just been thinking about funding that growth, I think [indiscernible] 4 billion kind of overtime. And it sounds like the early units, given how much they're going to cash flow will effectively fund the later units. But just curious if you guys are open to maybe even taking a partnership approach on some of these future units. And I say that in the context that we've seen several E&Ps come out over this last earnings season and expressed pretty strong interest in taking on maybe more direct LNG ownership?
Wesley Edens: 38:57 Yeah. The short answer is that we're -- we've had conversations with a number of different folks, both E&P producers as well as infrastructure investors and there's a broad array of people that are interested in, in what we're doing for obvious reasons. I think that the -- as we map out the timing of liquidity to fund the growth, the combination of the internally generated asset sales and financings plus the earnings from even the first unit give us ample liquidity to fund out this entire program. And so the timing obviously matters. And so it would -- if we did bring in a partner, it would not really be as a result of being worried about the time and liquidity cash flows but more because of perhaps strategic things we could do with them around the world. 39:51 And I would -- and then frankly, I would put Eni into that category. So Eni or any of the other big international oil and gas companies that have operations that are far flung around the world that want to also monetize their gas holdings in the short term are great potential partners for us. Obviously, the earnings potential of those units rented out to others is substantially less than the earnings potential for ones that we would do for ourselves but the credit characteristics, the cash flow characteristics, the ability for us to finance those assets and then provide incremental capital for the next is a balanced approach. 40:29 And I also think it's the kind of thing where we don't have a corner on the best ideas in the world. We certainly are very proud of the people that we've got and what we have done but there's a lot of smart people that are out there in the world and having other partners take a look over your shoulder in your business, I have found over the years to be a very, very healthy and productive thing to do. So short answer is, in the short term, I don't see us. We're not close to anything material to bring in other partners but it's the kind of thing that we talk about. 41:01 I think frankly -- I think from a strategic standpoint, the people that are the most interesting to us are the people that owns the gas themselves. So this is a case where the liquefaction is a process, the actual asset is the molecule of gas that you get. So the U.S. is blessed to have substantial amounts of gas and actually very robust pipelines. And so just on a market basis, you can buy a lot. But there's lots of different things that we think are interesting, both domestically and internationally in terms of looking at gas and partnerships.
Spiro Dounis: 41:34 Got it. That's helpful, Wes. Thanks for that. Second question going to Zero Parks. Maybe if you can, it could be a tough one to answer now because I know you're still trying to develop this entity, but I think a lot of us have kind of struggled to ascribe value here and really capitalize the asset. So I'm just curious, can you give us any sense of the economics, either on a per unit basis, we can sort of get the math around 12 potential sites, et cetera., just to try and figure out what the value proposition is here of spinning that asset out at some point for NFE shareholders?
Kenneth Nicholson: 42:03 Yeah. Big picture, a typical green hydrogen production facility that we've targeted is about 100 megawatt production facility, produce about 45,000 kilograms of hydrogen a day. Right now, that business is a marginally profitable business. We expect to become a much more profitable business over the next 12 months to 24 months. So obviously, federal government incentives, $3 a kilogram, things like that. Customer willingness to pay, pay up for carbon-free products, higher efficiency in electrolysis technology, lower renewable power prices, all of those things will contribute to more profitable green hydrogen production. Each facility, each 100 megawatt facility should produce between $30 million and $40 million of annual cash flow. And it should cost about $150 million to build. So you build 10 here in for $1.5 billion, generating about $300 million of EBITDA a year.
Wesley Edens: 43:05 I mean it is a venture business more than our core infrastructure business. It's a venture business that I believe that we believe will turn into an infrastructure business over time. I think actually, producing some green hydrogen, getting proof-of-concept, generating cash flow is a very, very important step. But if you want to take this from being a hobby to an actual industrial business, obviously, the scale that is necessary is actually dramatic. And while there are great synergies with the -- particularly with the downstream componentry of our business and just the industrial processes of building and running industrial plants like this which we think is great, I do think that this is a company that over time, will do its best with its own identity as a sister company but not as a subsidiary of it. So that's definitely the plan.
Spiro Dounis: 43:50 Got it. Very helpful, guys. Thanks for the time.
Operator: 43:54 Your next question will come from the line of Sean Morgan with Evercore. Please proceed with your question.
Sean Morgan: 44:01 Hey, guys. So one question we've been getting a lot is on the FSRU side with Europe. And I know it's only been less than probably 60 days. But are you starting to see inbound on kind of new markets beyond Ireland and Europe that are interested because you have this [indiscernible] commodity of all these FSRU assets to potentially build new imports into Europe and just kind of any update on commercial activity there?
Andrew Dete: 44:31 Hey, Sean, it's Andrew. I think the quick answer is certainly -- I think we're kind of in all the discussions that are happening in Europe and we've seen it kind of happen in two waves. So you have sort of the initial wave of procurement of FSRUs for terminals that will happen in the future. And I think we've seen some announcements about that. And now I think we're going to head into a second wave of kind of more concerted terminal building. And so you'll see kind of more announcements coming out from various governments as well as some of the bigger state players in Europe around specific terminals and what chips are going to go where. So I think we continue to see that progression. 45:07 I would say we're kind of involved in all of those conversations and they all have specific requirements, both on the kind of technical side of which ship fits where. And then on the sort of capital and deployment side of kind of how a terminal gets built in Europe, what the regulatory scheme is, et cetera. So I think it's fair to say like, it's a pretty chunky list of players. We're in discussions with all of them and we hope to have some kind of exciting announcements here in the future.
Sean Morgan: 45:31 Okay. And then on the FLNG development side, I know you guys are looking at some international projects but you're also looking at -- pretty uniquely looking at the U.S. project on the FLNG side. So is there any possibility to get the U.S. government kind of more directly involved in the -- import-export banks been talking about -- pretty openly about backstopping new projects and in the first start-up project like yours, it seems like it might make sense. So is there any kind of update you can give on that?
Wesley Edens: 46:02 Yeah. We have not talked with the U.S. government about financing. We're blessed to have a balance sheet and the ability to self-finance which is -- when we look at the elements that are necessary to be in this business, capital is kind of near the top of the list, capital operating capability is obviously -- are the big components. But we've got the capital to do it ourselves. Our real interactions with the U.S. government has been, in particular, on the permit side. And not just from the permitting agencies but also lawmakers to provide support for the activities both locally because this is a local activity, both onshore and offshore and a huge source of potential economic activity in terms of the construction of it in the shipyards in Texas and Louisiana and elsewhere. 46:50 So thus far, I can't be more positive about the interactions we've had with the government. We think that, what we are doing is unique but it is not that different than what has been done already. We're simply putting our gear onto existing marine infrastructure as opposed to putting in onshore. So it's not something which is wildly different than what they had permitted before, the venue changes by doing it offshore. And we think one of the most important aspects of our business and one of the reasons why we get our timelines to be what they are is that we don't have to build storage. Because we can use ships for storage and use our marine acumen and our marine personnel to do the ship-to-ship transfers of the fuel rather than have to build online storage. It has a much, much smaller environmental permit. And of course, it's much, much faster and much cheaper. So all those things together are great. 47:43 So we like the process and the solution that we've come up with. We need the government essentially to give us the green light to install and we're deeply engaged with them on a daily basis to do so. So -- but the financing side of it right now has not been a real consideration at least for us.
Sean Morgan: 48:03 Okay. Thanks, everyone.
Operator: 48:06 Your next question will come from the line of Ben Nolan with Stifel. Please proceed with your question.
Frank Galanti: 48:11 Yeah. Hi. This is Frank Galanti on for Ben. I wanted to follow up on FSRUs. So in the prepared remarks, you talked about three vessels being open are coming off of availability, two being converted or potentially conversion and sorry, -- so you have two available, then the one was waiting conversion. You said that, that nine months, 12 months away, was that start conversion with the components and/or was that to be completed in sometime 2023?
Christopher Guinta: 48:56 Yeah. Let me clarify that for you. So two open today, one that has started the conversion process which should be ready to operate as an FSRU in nine months to 12 months. What that means is that, we have the regasification equipment available which is really the long lead item in a conversion like this. And sort of have that in inventory and ready to go is a key advantage for us and why we can be confident in the nine months to 12 months. So two today and a third added to that over the next nine months to 12 months.
Frank Galanti: 49:28 Okay. Perfect. That's helpful. And then I know, I wanted to ask about capex needs. And so I know, Wes, you just said that you have the ability to self-finance, primarily through asset sales. But can we get sort of framed in what is committed from a CapEx perspective today? And sort of the different price points around using the three different platforms, right between jack-ups, drillships and fixed platforms? Or is that not the major determinant of total cost for those -- for the Fast LNG assets?
Christopher Guinta: 50:12 Yeah. So I'll stay away from the CapEx for the downstream terminals because by and large, they're completed, the Brazilian, the Nicaragua and Mexico, you're kind of all done on the construction there. For FLNG, I mean you spent almost 50% of the first unit. And so -- and we have line of sight to over 85% to 90% confidence in kind of the remaining costs there. So we feel really positive. As you look into number two and three, as I mentioned, the long lead item, the procurement stuff is done. The bulk of the time and materials components for both engineering and for construction is known and is not too dissimilar to FLNG 1. And really the reason for that is, imagine you're seeing a reconciliation, yeah, costs went up, you had some materials and some labor that went up, but you had some efficiencies. And so the number of engineering hours needed to design FLNG 1 significantly greater than the number of engineering hours you need to design FLNG two through nine. 51:13 So all in all, we think costs are relatively similar between numbers one through nine, frankly. The question on marine assets; yes, if you were to go back into the market and buy jack-up rigs or semi-submersible rigs, they are more expensive now significantly. So that's why we think that a fixed platform design may make more sense. And particularly when you're going to house these things in the U.S. Gulf of Mexico, they will be there forever, frankly. Just like many dozens or hundreds and hundreds of other platforms exist throughout the Gulf. 51:45 So from a CapEx standpoint, as Wes said, there's a pacing component but we do have all confidence that the cash that we'll generate from the transactions we're working on now plus the cash flows -- the free cash flow from the assets once they turn on are more than enough to fund the full capex development program.
Frank Galanti: 52:06 Perfect. That’s all I had. Thank you so much.
Operator: 52:09 Your next question will come from the line of Marc Solecitto with Barclays. Please proceed with your question.
Marc Solecitto: 52:15 Hi. Good morning. So on the pre-application for the six additional Fast LNG permits, can you just talk about the visibility you have into the availability for some of the long lead time items after the first three units that you've already ordered?
Unidentified Company Representative: 52:34 I didn't -- sorry, I didn't fully understand...
Wesley Edens: 52:39 The long lead items really are the compressor strings and the turbines in particular. Those are the highly specialized piece of equipment, those in the cold box. Those are the big components. There's lots of other pieces, obviously, there's hundreds of other pieces but those are the significant ones. With respect to the first three and potentially four units, we have procured them and are -- that's why we're confident in terms of the timing of construction. For the additional 6 units, we have had extensive discussions with all of our counterparties about this kind of factory application that Chris said. 53:19 The key to regulating that process is to give long-term commitments. And so they can produce these on a monthly, literally a monthly basis, knowing what the order book is. And so much in the way that I think of it as kind of forward order books for new aircraft, it gives manufacturers certainty then for production lines to them, hire people than procure their own componentry. It's a very similar process that we're engaging in here. So it's a multi-dimensional project because we need both the long lead items. We need the componentry. We need actually the space to build the modules and then we need the shipyard space to install. 54:10 There's a whole host of different counterparties, Chris mentioned many of them that we are deeply engaged with that. And we feel very confident that the time lines are going to be quite addressable here. So our forecast for FLNG 1, 2, 3 is 2023. And then as Chris said, it really is a quarterly installation thereafter 2024 through middle of 2025 is what our estimate is right now.
Marc Solecitto: 54:41 Got it. That's very helpful. And then for the $5 to $6 production costs for Fast LNG, can you just break down how much of that is OpEx versus your gas cost assumptions? Just trying to get a sense of the operating cost profile for the Fast LNG assets.
Wesley Edens: 54:59 [indiscernible] It's $1 to $1.20 depending on exactly what the installation is. But when you look at the curve for gas as you go out a few years, obviously, Henry Hub has spiked significantly in recent days and weeks, but long-term curves are roughly $4. We've got operating costs of about $1, transport cost of around $0.40. Those are the big numbers to keep in mind. And then obviously, if you took the curve today, that would result in about a $5.50 all-in cost. That's why I say that an estimate of $5 to $6, I think, is a good one. 55:40 One other thing that I should have said when I get asked the question of what we think long-term value is for gas versus oil, there has been a very, very long relationship historically between gas and oil. And in energy equivalency, gas is approximately one-sixth of oil. So if you took oil today which is $110 Brent, one-sixth of that is about $18. So I think gas tends to trade at a discount to that. It's not at a discount today. It's actually a premium [indiscernible] trade. At a modest discount to that to reflect handling costs and transportation, et cetera, because it's a little bit more challenging to move around than oil. But that would imply long-term stabilized levels of kind of $15, $18, it would be the equivalent to oil to give some guidance to what we think the ultimate margin can be for these units once you get past this immediate energy security window. 56:37 So the energy security window ‘22, ‘23, ‘24, ‘25, probably even ‘26, those numbers, we think, could be materially higher than that. But even long term, we think that the value proposition of this is one that's likely to be very compelling for these units. So...
Marc Solecitto: 56:54 Got it. Very helpful. Appreciate the time.
Operator: 56:59 And at this time, there appears to be no further questions in queue. I would now like to turn it back over to the panel for closing remarks.
Wesley Edens: 57:05 Great. Well, thank you, everyone, for dialing in. Look forward to speaking to you again next quarter. Thanks so much.
Operator: 57:13 This concludes today’s conference call. Thank you for participating. You may now disconnect.